Operator: Good day, ladies and gentlemen. And welcome to the PGT, Inc. Second Quarter 2012 Earnings Conference Call. At this time all participants are in a listen-only mode, later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder today's conference is being recorded. I would now to introduce your host for today's conference call, Mr. Brad West. You may begin, sir.
Brad West: Good morning and thank you for joining us for PGT's second quarter 2011 conference call. I am Brad West, Corporate Controller, and I'm joined today by Rod Hershberger, President and CEO; and Jeff Jackson, Executive Vice President and CFO. Rod and Jeff will represent PGT in this morning's call. Before we begin, let me remind everyone that today's conference call may contain statements concerning the company's future prospects, business strategies, and industry trends. Such statements are considered to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements do not relate strictly to historical or current facts, rather they are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to the August 1st press release, our most recent Form 10-K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtinc.com. Included in the press releases are the unaudited consolidated balance sheets and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics to evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our press release, which was included as an exhibit to our Form 8-K filed August, 1st, with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. For today's call, Rod will provide an overview of our performance for the fourth quarter and six months ended June 30th, 2012 then Jeff will discuss our results in more details. After their prepared remarks they will take your questions. With that, let me turn the call over to our CEO, Rod Hershberger. Rod.
Rod Hershberger: Thanks, Brad. Good morning, everyone. Thanks for joining us on this call. Second quarter 2012, continued our upward trend. We had a very successful quarter, in which we increased sales 2.9% over the prior year, generated cash from operations of $4.9 million and made an optional of $2 million payment on our debt. We also had net income for the second quarter of 2012 of $3.7 million. The achievements of the second quarter are the direct results of the great work done by our employees, as we continue to realize benefits from the consolidations completed in 2011. Second quarter of 2012 was also our most successful in terms of EBITDA, as a percent of sales into 2006. EBITDA in the second quarter was $7.8 million or 16.8% of sales. This is a $3.2 million increase over the second quarter of 2011 EBITDA after adjusting 2011, for consolidation charges, manufacturing inefficiencies caused by the consolidation, and the write-off of deferred financing costs. One of the contributors to this higher EBITDA was an increase in sales, sales improved in the second quarter by $1.3 million or 2.9%. Our WinGuard sales increased in new construction markets by $1.8 million and in the remodeling markets by $1.9 million over 2011. These areas of growth reflect improving market conditions including increased housing starts mainly in the Southwest region of Florida, and targeted efforts to increase share in both Southeast and Southwest Florida. We did experience floor sales in our non-impact products of $600,000 and our Architectural Systems products decreased by $900,000 primarily driven by the completion of some large projects. Another EBITDA contributor was our gross margin improvement, for the second quarter of 2012, our gross margin was 35.5% compared to 19.9% for the second quarter of 2011, which after adding back consolidation charges and manufacturing inefficiencies, would have been 29.9%. The increase of 5.6% in gross margin in 2012, was driven by a significant reduction in scrap, mixed improvements and consolidation savings. SG&A cost for the second quarter of 2012, decreased $400,000 or 3% after adjusting for consolidation costs from the prior year. This was driven by consolidation savings of $1 million and $200,000 in decrease in warranty costs offset with an increase of $800,000 in employee benefit costs. Within our core market, total housing starts were up 41% for the second quarter of 2012, when compared to 2011. Single-family starts were up 29% compared to a year-ago. Our growth in housing starts is encouraging, as reminder, this growth is off a very low base. Results for the first six months of 2012, include; sales down 1.4% from the prior year, primarily from exiting certain out-of-state markets, gross margin percentage of 33.6%, net income of $3 million EBITDA of $11.1 million. In summary, our employees and leadership generated these improvements by focusing on our value-proposition of producing quality products delivered on time with exceptional service before, during, and after the sale. With that I will turn the call over to Jeff, who will review the results for the quarter and six months in greater detail.
Jeff Jackson: Thank you, Rod. We were encouraged by the success of our second quarter and first six months of 2012, an increase in our impact product sales and continued focus on operational efficiencies from our consolidation, favorably impacted our gross margin percentage which was the highest since 2008. We kept our SG&A expenses flat and we're able to achieve an EBITDA margin of 16.8%, and generate free cash flow of $3.7 million. Our quarter ended cash balance was $15.7 million and we prepaid $2 million of our outstanding bank debt during the quarter, bringing our net debt to $27.8 million. As Rod mentioned, and as you have read and learned from our earnings release we reported net sales of $46.5 million for the second quarter of 2012, 2.9% increase over prior year's quarter. On a product basis our WinGuard impact products, both aluminum and vinyl continued to lead our sales representing approximately 70% of sale for the second quarter of 2012, compared to 63% in 2011. Breaking down our sales drivers for the second quarter, compared to 2011 second quarter, we have aluminum WinGuard sales were $26.5 million versus $24.4 million up 8.6%. Vinyl WinGuard sales were $5.8 million versus $4.6 million up 26.1%, PremierVue sales were $1.7 million, versus $2.2 million, a decrease of $500,000. Architectural Systems sales were $600,000 versus $1.5 million, a decrease of $900,000. Sales of non-impact products were $11.9 million, versus $12.5 million, down $600,000 or 4.8%. Gross margin for the second quarter of 2012 was 35.5% versus gross margin at 19.9% in the second quarter of 2011. After adjusting for consolidation charges and manufacturing inefficiencies caused by the consolidation charges and manufacturing inefficiencies caused by the consolidation, our 2011 gross margin would have been 29.9%. Our increasing gross margin percentage was driven by improved operational efficiencies and lower scrap by 370 basis points. Consolidation savings of 114 basis points decreased in cost of materials which increased margins by 50% basis points, additional volume impact on margins was 30 basis points offset by the impact of promotional activity which lowered our margins approximately 30 basis points. On average our cost of aluminum was approximately $2,098 per metric ton during the second quarter, comprised of spot purchases averaging $2,060 per metric ton, or approximately 32% of our needs and hedged purchases averaging $2,115 per metric ton or 68% of our needs. This compares to the second quarter of 2011 average cost of $2,402 per metric ton, as of today we are hedged at approximately 51% of our estimated needs through December 2013. At an average of $2,085, per metric ton. The cash price as of today is $1,820 per metric ton. Our selling, general, and administrative expense were $11.9 million down $400,000 when excluding consolidation charges from the second quarter of 2011. Driving this decrease was $1 million in consolidation savings, leading these savings is our distribution department, which reduced costs by 29.4% driven by streamlining the routes and increased tractor utilization. We also experienced a decrease in our warranty cost of approximately $200,000. Offsetting these costs savings was an increase in employee related compensation expense of $800,000. SG&A as percent of sales was 25.6% compared to 26.3% in 2011. After adjusting for consolidation charges. Interest expense was $900,000 compared to $1.1 million in the second quarter of 2011. This decrease primarily relates to lower debt and a reduction of our interest rate based on the new debt agreement. In the second quarter of 2012, we saved $1.5 million related to our consolidation, as the consolidation was completed in the second quarter of 2011, we now can report annualized savings from this consolidation of $6.1 million. During the second quarter of 2012, we recorded $68,000 of tax expense related to an AMT liability. For the second quarter and first six months this resulted in effective tax rate of 2%. We do not anticipate generating enough taxable income this year to exceed our current net operating loss carry-forwards which are currently estimated to be $31 million at the end of 2011. As we've become more profitable we will be in a good position to realize our deferred tax assets by offsetting future income. We had net income in the second quarter of $3.7 million or $0.07 per diluted share versus a net loss of $5 million or a net loss of $0.09 per diluted share in the second quarter of our prior year. The net loss in the second quarter of 2011 includes $1.4 million in consolidation charges, $3.3 million in excess operational charges and $400,000 in write-off deferred financing costs. EBITDA was $7.8 million for the second quarter versus an adjusted EBITDA of $4.6 million for the second quarter of 2011. For 2011, EBITDA was impacted by $1.4 million of consolidation charges, $3.4 million in manufacturing and efficiencies associated with the consolidation and $400,000 in write-off deferred financing costs. The increase in EBITDA of $3.2 million is due mainly to $1.5 million from improved operating efficiencies and lower scrap, $1.5 million from consolidation savings, $500,000 contribution margin on higher sales, $300,000 of increased warranty costs, $200,000 from the reduction of cost of materials, somewhat offset by $800,000 in increased employee compensation-related expense. A reduction of -- a reconciliation of net income and EBITDA which I had just discussed has been included in our earnings release for your reference. Turning to our balance sheet, as of June 30, 2012, our net working capital, excluding cash and assets held for sale was $17.4 million, an increase of $1.9 million compared to the end of the first quarter of 2012. DSOs decreased to 34 days at the end of the second quarter compared to 41 days at the end of the second quarter 2011. Our free cash flow for the quarter was $3.7 million, driven by EBITDA, excluding non-cash stock compensation of $1.8 million, capital additions $1.4 million, cash paid for interest was $700,000 and we used $2.5 million in cash for working capital, and we received $200,000 in miscellaneous other items. Our gross debt outstanding as of June 30, 2012 was $43.5 million. During the quarter, we prepaid $2 million of our debt. In closing, we are pleased with the results of the second quarter and first six months. However, we believe additional opportunities exist to lower our operational costs and leverage them with incremental sales. We are making additional investments to generate sales growth and take market share, particularly in the Southeast and Southwest Florida markets. These investments include both television and radio advertising as well as promotional activity both for the consumer and our dealers. We'll also continue to focus on improving operational efficiencies throughout our value chain. With that, let me turn the call back over to Rod.
Rod Hershberger: Thanks, Jeff. We just completed a strong second quarter. This was especially true with regard to our operations. With the consolidation behind us, we will continue to focus on sales growth within our core markets and our operations will continue to ratchet up performance and deliver on our value proposition, leveraging on our second quarter and first half successes as we move forward. While we are encouraged by the increase in new construction in Florida, this increase is mostly in low-end housing and the R&R market is still hindered by economic uncertainty and the 2012 election cycle. However, the long-term prospects remain strong as demand has increased and home prices have stabilized, and in some areas increased. We will continue to pursue the condo market with Architectural Systems and PremierVue, but would remind you that these projects typically start six months or longer in the future. With that, I'll conclude and Jeff and I will be happy to answer your questions. Kevin, if you can get the first question please.
Operator: (Operator Instructions) Our first question comes from Sam Darkatsh with Raymond James.
Sam Darkatsh – Raymond James: Good morning folks. How are you?
Rod Hershberger: Good Sam. How are you?
Sam Darkatsh – Raymond James: I'm doing well. So I know you don't like to give guidance or expectations and such, but it seems as though you're looking at some of the macro variables that seem to be slowing broadly. Are you actually seeing that in your current tone of business or is it just a suggestion that this might be the direction that we're heading in terms of a moderation?
Jeff Jackson: I think, Sam, similar to what I've read in other homebuilders and building product companies, we have seen a somewhat slowdown in R&R side of the business probably over the last, I don't know, about five weeks or so. It's not a dramatic drop off. It's just not growing like we've seen initially in the second quarter. So that part of the business has slowed. We have seen continued growth in new construction.
Rod Hershberger: I'd probably categorize it as we're a week or two away from school starting and a lot of our market here and there's a lot of vacations and we typically see a little bit of a slowdown. I think there is -- I think our cautious part of it is looking at the election cycle and a little bit of uncertainty in the political side of things and the economic side still is struggling a little bit. We're not sure how it bounces back in the third quarter from the R&R side. But like Jeff said, new construction continues to be a pretty pleasant surprise after the many years we've had at such a down -- new construction cycle.
Sam Darkatsh – Raymond James: And do you expect with the relief coming or already here in certain expense with aluminum costs, that with it perhaps a more modest demand outlook that that pricing may soften a bit or you're not seeing that indication much in a competitive environment?
Jeff Jackson: We're not seeing that indication very much in the environment. We're seeing -- there's a little bit of a mix shift between aluminum and vinyl depending on the energy qualifications or the energy needs of the consumer, probably a little bit different on the two sides of the states; Southwest, Southeast side of the state. But we've really not seen that much pressure on the aluminum side of things. I think there's enough uncertainty out there that people aren't dropping prices.
Rod Hershberger: Yeah, what we will do, Sam, is try to keep the volume trends going [and we're seeing] is run promotional activity. And people who can argue that that could be considered pricing. We're not changing our pricing, but we are running promotions to help generate additional or incremental volume to our current trends.
Sam Darkatsh – Raymond James: And that promotional activity is increasing on a year-on-year basis or is it pretty much just the typical seasonality that you're seeing this time of the year? Just trying to get a sense of whether that level of activity is increasing beyond prior expectations or not?
Rod Hershberger: It has increased over last -- third quarter of last year's promotional activity versus this year's third quarter promotional activity will have increased -- we're increasing this year somewhat.
Sam Darkatsh – Raymond James: Okay, thank you. But very nice quarter, thank you.
Rod Hershberger: Thank you, Sam.
Operator: Our next question comes from Rob Hansen with Deutsche Bank.
Rob Hansen – Deutsche Bank: Thanks. I just wanted to ask about your EBITDA margins. It came in very nice this quarter, almost back to levels that you were in, in kind of the boom time. So I just wanted to see what your thoughts were on kind of a longer term sustainable basis for EBITDA margins and what you think you could ultimately achieve?
Jeff Jackson: I think given the leverage we saw in the second quarter with just a small amount of incremental volume versus last year. And actually and even if you looked at it subsequent quarter compared to first quarter, we did have some volume growth. We were able to bring a substantial amount of that volume growth to the bottom line. Our flow through is probably closer to 50%, historically range from 40% to 50%. It's been 40% lately. It was closer to 50% in the second quarter. So I think you will continue to see that for the next $20 million, $30 million in sales because again, we're not talking a lot of sales. $30 million even though percentage wise and number wise it'd be great for us from a constraint on the building, for our employees, our ability to produce, we can do that with our current cost structure and current cost base. So we will be able to bring that -- a lot of that to the bottom line, I'm thinking in the 45% to 50% cut flow through on the contribution margin. So, with that said, I think higher teams of higher sales base is definitely achievable.
Rod Hershberger: Yeah, I think Rob the one thing we do have to watch for a little bit is -- it goes back to Sam's question a little bit is as we look at the quarters and we look at the promotions that we've run, sometimes they'll fall over or get pushed from one quarter to another. And if the sales volume doesn't remain up, it affects our margin percentage on a given quarter by not a huge amount necessarily, but by some amount, a couple of points may be. But over the course of the year, I think that all plays out pretty well.
Rob Hansen – Deutsche Bank: Okay. And then what was the WinGuard gross margin this quarter?
Jeff Jackson: It was 43%.
Rob Hansen – Deutsche Bank: Okay. And so you're adding a little bit in terms of promotional expense possibly, but you're not making any changes to pricing. And basically I guess what I'm trying to ask you is have you seen any pressure on pricing as a result of lower aluminum prices? And could you foresee kind of given where you're hedged versus the cash price, could you see any impact, any pressure there on your margin in the future?
Jeff Jackson: No, we typically don't see pricing pressures surrounding aluminum. We don't pass it along when it hits us and we typically don't get pressure to give back when it's down. And it's not down materially. I mean, the average per cash obviously [it's north] of 18-something, but it's not a big win for us and we don't feel any kind of pressure from our side of the business to pass that on. The industry in general has not had a lot of pricing over the last several years and aluminum has been all over the place, glass costs has been all over the place, interlayer, fuel. And I don't see us getting any pressure in terms of bringing price down. If anything we'll look to the future of bringing prices up.
Rob Hansen – Deutsche Bank: Okay, I really appreciate it guys. Thank you.
Jeff Jackson: Thank you, Rob.
Operator: I'm not showing any further questions at this time. I'd like to turn the call back to Jeff for closing comments.
Jeff Jackson: Thank you all for joining us today for our second quarter call. If you have any further questions, please feel free to call me. With that, I'll conclude the call and you guys have a great day.